Operator: Good morning. And welcome to the Trane Technologies Q3 2020 Earnings Conference Call. My name is Mariama, and I will be your operator for the call. The call will begin in a few moments with the speaker remarks and the Q&A session. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions]. I will now turn the call over to Zac Nagle, Vice President of Investor Relations.
Zac Nagle: Thanks, operator. Good morning. And thank you for joining us for Trane Technologies' third quarter 2020 earnings conference call. This call is being webcast on our website at tranetechnologies.com, where you'll find the accompanying presentation. We are also recording and archiving this call on our website. Please go to Slide 2. Statements made in today's call that are not historical facts are considered forward-looking statements and are made pursuant to the safe harbor provisions of federal securities law. Please see our SEC filings for a description of some of the factors that may cause our actual results to differ materially from anticipated results. This presentation also includes non-GAAP measures, which are explained in the financial tables attached to our news release. Joining me on today's call are Mike Lamach, Chairman and CEO; Dave Regnery, President and COO and Chris Kuehn, Senior Vice President and CFO. With that, please go to Slide 3, and I'll turn the call over to Mike. Mike?
Mike Lamach: Thanks, Zac. And thanks, everyone, for joining us on today's call. Before we move into the details of our third quarter results, I'd like to momentarily step back and provide broader perspective on the unprecedented level of change we've seen around the world, both in business and in our daily lives, and why this is particularly relevant for Trane Technologies. At present, we appear to be seeing an acceleration of COVID-19 cases in most parts of the world, particularly in the Northern Hemisphere. As the weather turns colder and more activities and time is spent indoors, we're at a very critical phase in the course of this pandemic, and we can't let our guard down. Proper hygiene, distancing and the wearing of masks will all remain critical defensive actions in order to contain and eventually eliminate the spread of the virus. Overall, our best estimate is that there is 1.7 trillion square feet of residential and non-residential building space in the world. Over 400 billion square feet of this represents non-residential communal space. Importantly in developed economies, people spend an average of 90% of their day indoors, which reinforces the need for healthy indoor environments. Building owners, tenants and every occupant of an indoor space are certainly looking that the overall health of physical environment with a new sense of responsibility and concern. And there's no doubt all the contemplating and taking some action to renew or bring indoor spaces to better overall air quality standards. Systemic holistic actions to assess and improve the health and safety of indoor environments is paramount right now, and requires an industry wide response for support. Over the past quarter, we formed at center for healthy and efficient spaces modeled after the Center for Energy Efficiency and Sustainability that we formed over a decade ago, to convene internal and external experts to collaborate and deliver innovation, thought leadership, market education and communication and enhance the policies and standards required to meet the present and future challenges we're all facing. HVAC systems already drive 40% or more of a building's total electricity demand. While we know that many indoor air quality strategies and enhancements can have a negative impact of further increase in building electrical demand by 15% to 40%. This represents a significant challenge for energy efficiency, energy costs for owners. So as we help raise the overall indoor air quality of spaces, is critical that we find additional ways to mitigate the economic impact to our customers through the implementation of more efficient systems controls, and broad-based energy conservation measures that we can take on their behalf, which is critical to offsetting the unintended consequences of increasing overall carbon emissions through HVAC system's energy demand. At Trane Technologies, we want to be part of creating a better new normal. We will challenge the status quo to create a new normal where communities thrive, where quality is foundational and when the environment is protected for future generations. We're putting a stake in the ground that Trane Technologies will lead by example, by setting a stork and ambitious commitments and taking action to change our company, our industry and the world. Our Gigaton Challenge committed to reducing our customers' carbon emissions by 1 gigaton or 1 billion metric tons by the year 2030. To give you an idea of size and scale, that's equivalent to about 2% of the world's annual emissions. That's just our company alone, because other companies join us, we can bend the curve on global warming. We're also committed to creating opportunity for all with the goal to achieve gender parity and leadership by 2030, and racial and ethnic diversity that is reflective of our communities. Our transformation plan for Trane Technologies is another example of how we're creating a new better normal for our team, customers and shareholders executing against the new blueprint that culminated in May, after approximately one year of analysis and planning, Setting needs and other bold plans in action, our talented team around the world has exhibited all the commitment and passion for change that has marked our last decade. Our goal is simple, to create a new normal, where opportunities accessible for all healthy food, water and medicines are moved to people who need them, our emissions turned down and blue skies turned up. Our business sits right at the intersection of making those things happen. With our unique positioning as a focused climate innovator, transformed and fit for purpose, we can tackle these pressing and complex challenges and drive differentiated returns for shareholders. Moving to Slide 4, as everyone listening to this call today can attest. The global COVID 19 pandemic continues to present ongoing challenges to virtually every aspect of our daily lives. As much progress is we've made the questions were all contemplating months ago regarding the depth and duration of the downturn, and the speed and shape of the recovery still very much with us. While there are several promising vaccines in process timing, availability, and mass distribution capabilities that might radically change the trajectory of the pandemic remain open questions. Despite these ongoing challenges, our teams remain focused and agile, effectively navigating and evolving landscape to meet the needs of our customers go to deliver strong financial results for our shareholders in the third quarter. We outperformed our end markets broadly, delivering strong bookings growth, positive revenue growth, robust margin expansion, strong EPS growth, and exceptional free cash flow. Continued strong performance gives us confidence to once again raise our outlook for 2020 revenues and leverage, and along with that raising our outlook for operating income and EBITDA as well. But only do we expect our current outlook for 2020 revenues of down roughly 6% to significantly outperform a prior outlook of down 10% and 15%, we also expect to see some improvement in the fourth quarter as well. Assuming the current course and speed of the global economic recovery, we expect the fourth quarter revenues to be down just 5% despite tough comps for North American HVAC business and continued weakness in global transport markets. Additionally, we have improved outlook for deleverage in quarter four in 2020 to better than gross margin levels based on expectations for continued strong execution. Our prior outlook was for gross margin to deleverage the low 30% range for 2020. We continue to take aggressive actions to emerge stronger and to thrive as business conditions improve and new opportunities develop. We maintain high levels of business reinvestment and innovation and growth programs throughout the third quarter, and expect to further accelerate our investments in the fourth quarter. We have a strong slate high ROI projects and our core business as well as opportunities to accelerate investments in new IAQ and cold chain storage solutions. We set a course to accelerate our stranded cost and other fixed costs reduction initiatives in the first half of the year in order to deliver more bottom line savings both 2020 and 2021 and we are on track to deliver these savings. We remain in a very strong financial balance sheet and liquidity position. We've delivered strong free cash flow in 2020. You will probably pause elements of our balanced capital allocation strategy through the third quarter in favor of capital preservation and optionality. Exiting the third quarter based on strong performance and a current course speed of the global economic recovery will well positioned to bring all elements of a balanced capital allocation strategy back into play at this time. Our core strategy remains unchanged. Secular megatrends of energy efficiency and sustainability are becoming more pressing every day. And these trends are now elevated with the increasing need to ensure the health and safety of the environments we work and live in. We excel at addressing these megatrends and challenging what is possible for a sustainable world, redefining a higher standard for what the world considers normal. This passion powers us forward to deliver top tier financial performance and differentiated returns for our shareholders. Now I like to turn the call over to Dave to discuss our bookings and revenue performance in the quarter. Dave?
Dave Regnery: Thanks, Mike. Please go to Slide 5. Third quarter impacts of the global pandemic drove further contraction from 2019 levels in the majority of our key end markets. Despite these headwinds, our global teams remain focused and agile and delivered positive revenue and 7% bookings growth in the quarter. In the Americas, the economy is slowly progressing forward, but the situation remains tenuous. Our America segment delivered growth in both bookings and revenue in the third quarter, up 8% in bookings and 2% in revenues. In the Americas, our commercial HVAC business has remained resilient through 2020 with Q3 bookings down low-single digits and revenue remaining flat with prior year. Services continue to outperform equipment, but remain challenged by pandemic specific downturn impacts primarily related to low building occupancy rates and other building closures related to ongoing health and safety concerns. Our teams have been effective and efficient at adapting to the changing landscape and capturing opportunities to outgrow market conditions in areas such as indoor air quality assessments and services. Strong performance in our residential HVAC business enabled us to take advantage of strong growth in both replacement and new construction markets in the third quarter. Residential bookings are up more than 30% and revenues are up high-teens in the quarter. Backlog remains at record levels entering Q4. Our transport refrigeration business outperformed the overall markets which were down more than 30% in the quarter. Revenues were down over 20%, bookings were positive in the quarter up low-single digits. Turning to EMEA, the overall EMEA market continues to be challenged but teams continue to execute well. EMEA delivered positive bookings growth of 6% in the quarter with growth In both commercial HVAC and transport refrigeration. Revenues again outgrew underlying market conditions down 6% overall. Commercial HVAC bookings were up high-single digits, while revenues were down mid-single digits. Services outperformed equipment, but are still constrained by pandemic specific downturn impacts noted earlier. EMEA transport bookings were positive in the quarter, up low-single digits. Revenues were down high single digits, outperforming the broader transport markets, which were down more than 20%. Asia-Pacific results continue to be mixed, with overall bookings down 5% and revenues down 2%. China continues to show signs of relatively steady improvement. Having made the most progress against the pandemic, growth in China was more than offset by declines in the rest of Asia, where a number of countries have yet to turn the tide on the pandemic and begin on the path of recovery. Now, I'd like to turn the call over to Chris to discuss the results of our quarter in more detail.
Chris Kuehn: Thanks, Dave. Please turn to Slide 6. Dave, provided a good overview of our revenues on the prior slide, so I'll focus my comments on margins. Adjusted EBITDA margins are strong, up 80 basis points with operating leverage better than gross margin rates. We delivered strong margin expansion through focused execution of a recession playbook to adapt to evolving market conditions. Productivity was very strong across the board in the quarter, reflecting strong execution and cost containment, right size for the revenue declines we expected to see. Top-line execution exceeded our expectations heading into the quarter, which benefited margins given tight cost controls in each segment. Price costs remain positive in the quarter. While mix remained a significant headwind given steep declines in transfer revenues in both the Americas and EMEA. We also maintained high levels of business reinvestment and employee safety measures, innovation and technology. Please turn to Slide 7. Turning to the regional segments, I'll once again focus my comments on margins as Dave provided a good overview of revenues earlier. In the Americas region, strong residential revenues, productivity, cost containment and price more than offset headwinds from transport mix driving solid margin expansion. Similarly, the EMEA and Asia-Pacific regions delivered strong productivity and cost containment to improve margins versus 2019. Please turn to Slide 8, we've consistently been able to raise our outlook for revenues and leverage from our initial scenario view at the outset of the pandemic, and we are raising it once again heading into the fourth quarter of 2020. Assuming current course and speed of the global economic recovery, we now expect 2020 revenues to come in down approximately 6% with better than gross margin deleverage. This compares favorably to our prior outlook for 2020 revenues to be down 10% to 15%. We expect Q4 revenues to be down approximately 5%, with better than gross margin deleverage. We continue to operate from a position of strength and intend to continue to play aggressive offense through the downturn in order to emerge an even stronger company post-pandemic. In terms of our outlook for Q4, we wanted to provide some additional items that may help with your modeling. We operate a CapEx light business model of 1% to 2% of revenues and we are likely investing on the lower end of that range for 2020. We expect free cash flow to remain strong and equal to or greater than 125% of adjusted net earnings for 2020. Quarterly interest expense is expected to be consistent at $62 million in the fourth quarter. Our tax rate remains in the 19% to 20% range for 2020. And lastly, our share count is expected to be approximately 243 million shares for 2020. Now I'd like to turn the call back over to Dave to provide our market outlook. Dave?
Dave Regnery: Thanks, Chris. Please turn to Slide number nine. As we've highlighted, North America commercial HVAC has significantly outperformed the broader markets through the third quarter through strong focus, agility and execution. We're seeing high levels of interest in and strong conversion for comprehensive indoor air quality assessments and momentum in this space continues to build. The universe of opportunity is huge based on billions of installed square footage that could ultimately be evaluated and addressed. But the opportunity is still early stages. For Q4, we expect our North America commercial HVAC business to be down between 5% and 10% primarily driven by the extremely tough comps the business faces. Q4 2019 revenues were up nearly 20%, which is essentially equivalent to two years of 10% growth all in one year. Tough comps aside, our North American commercial HVAC business remains healthy and resilient and we expect backlog to be roughly flat in 2020 versus the end of 2019, despite significant declines in the non-residential markets in 2020. Turning to residential, we saw a record bookings and revenue in third quarter, which puts us in a strong backlog position entering the fourth quarter. Residential is still a book and turn business, and it's unclear how November or December will shake out at this point. So too early to call Q4 at this stage. Turning to North America transport, we're seeing some positive trends and freight rates and order rates and we're aligned with act that the overall transport market growth rates are likely to improve sequentially from Q3 to Q4. Act has calling for the market to be down roughly 20% in Q4, so we're expecting continued headwinds for our North America transport business in the quarter. Turning to EMEA, where recovery continues to be relatively soft and country dependent. Some countries are bracing for another round of restaurants and other venue lockdowns and border closures. It's too early to call the recovery broadly in Europe, and we'd expect both commercial HVAC and transport markets to be challenging in Q4. Transport markets will be especially challenging, as the market outlook calls for a 25% decline in the fourth quarter, which will only be amplified by border and venue closures should they occur in parts of Europe. Turning to Asia, we continue to be encouraged by the recovery in China, which we expect to have solid growth in Q4. However, we expect to see similar results to the third quarter in the rest of Asia, in which revenue declines more than offset growth in China. Please turn to Slide number 10. At the time we announced the industrial RMT transaction, we quickly mobilized the transformation office to focus on streamlining our organization to remove $100 million of stranded cost from the business by 2021. As Mike discussed earlier, we are on track to achieve $100 million in 2020 and $140 million in 2021. As we discussed, we expect onetime expenses of approximately $100 million and $150 million to eliminate the stranded and other fixed costs. We have spent approximately $91 million year-to-date with $15 million in Q3. Now I'd like to turn the call back over to Chris to discuss our balanced capital allocation strategy. Chris?
Chris Kuehn: Thanks, Dave. Please go to Slide number 11. As Mike mentioned earlier, we paused on elements of our balanced capital allocation strategy through the third quarter in favor of capital preservation and optionality. Exiting the third quarter based on our strong free cash flow generation and our current outlook. We're in a strong position to bring all elements of our balanced capital allocation strategy back into play. Our balanced capital allocation strategy is focused on consistently deploying excess cash to the opportunities with the highest returns for shareholders. Despite economic conditions, we continue to strengthen our core business with healthy levels of business investments, and high ROI technology, innovation and operational excellence projects, which are vital to our continued growth, product leadership and margin expansion. We remain committed to maintaining a strong balance sheet that provides us with continued optionality as our markets evolve. We have a longstanding commitment to reliable, strong and growing dividend that increases at or above the rate of earnings growth overtime. We continue to pursue strategic M&A that further improves the long-term shareholder returns. And we continue to see value in share repurchases as the stock trades below our calculated intrinsic value. All in, we expect to consistently deploy 100% of excess cash overtime. Now I'd like to turn the call back over to Dave and Mike to cover key investor topics of interest and to close at the summary of key points.
Dave Regnery: Thanks, Chris. Please go to Slide number 13. Indoor air quality is generating tremendous interest in the market and our pipeline for services and system enhancements is growing daily. Fundamentally, our customers are turning to us for our unmatched expertise, direct service channel, and remote monitoring services to improve the safety of their buildings and build the confidence of their building occupants. We offer a holistic, layered, fully customized approach, which balances key contributors to indoor air quality with energy intensity. At this stage, we're seeing solid activity for more modest sized projects, aimed at immediately addressing the most pressing challenges for reopening buildings. As Mike highlighted at the outset, we believe indoor air quality represents a long-term secular tailwind for Trane Technologies, as businesses and consumers alike have come to think differently about the health and safety of the air they breathe everywhere. With an eye on the longer term, we launched our Center for Healthy and Efficient Spaces during the quarter. The center is focused on driving long-term strategy and innovation within our business and influencing the establishment of codes and adoption of standards in the built environment. Please go to Slide number 14. Another topic we know is on the minds of investors revolves around transport markets in 2020 and 2021. For 2020, the North American market is expected to be down about 35% and our numbers clearly show outperforming the markets. The same applies for EMEA, where the markets are expected to be down roughly 25% for 2020. We're on pace to outperform in EMEA as well. Turning to 2021, we are positive on the markets and consistent with the market outlooks from ACT and IHS which calls for transport markets to be up approximately 41% in North America and 11% in EMEA. Now, I'd like to turn the call back over to Mike for closing remarks. Mike?
Mike Lamach: Please go to Slide 15. We've mentioned that we intend to hold an investor event in December, and we firmed up what that event will be. We're looking at the morning of December 14, and we hope all of you can join us, it should be a great event. While the pandemic continues to present unprecedented challenges to visibility of the markets, we evolve of the near to medium term, rather than conduct a traditional Investor Day with three year top-line and bottom line targets we believe it will be more concrete and constructed to talk about the things we control, which are the transformational activities associated with the new Trane Technologies that we're working on for the past year. We're going to take a couple of hours in the morning of the 14th to focus on the self-help story with Trane Technology supports continued margin expansion and growth across our business that is not dependent on our current end markets perform. We've touched on some of these we've been working on and this will be a deeper dive in order to provide investors that continued confidence in our margin expansion and innovation story. This will be a virtual event given the current environment. We'll follow up with additional details on the event, but please be sure to save the date. Please go to Slide 16. I believe it was Peter Drucker who said that culture eats strategy for breakfast, and we couldn't agree more with that idea. The topic of what happens or changes when organizations culture has been top of mind for many these days and certainly for me. As we went through the very difficult work of the industrial separation and formation of the Reverse Morris Trust, we blueprinted the new Trane Technologies and work through and weather the impact of the pandemic to this point, we've had plenty on our plate as a newly created Trane Technologies. I'm proud to say that through all of this, the pride, energy and optimism that is emblematic of our culture has only gotten stronger. We've recently received feedback from 90% of our associates globally and nearly 35,000 people in this year's engagement survey, with over 60,000 verbatim comments provided. The results were overwhelming. Our engagement index achieved top quartile again of all companies and improve year-over-year. With pride in our company energy for what we do in the world, and optimism about Trane Technologies future at the core of the feedback received. I'm proud of our people, our entire team and our shared inspiration that one company can change an industry and our industry can change the world. As I said at the outset of the call, energy efficiency and sustainability megatrends are only growing stronger as time passes. And fundamentally, we excel with these global megatrends and sustainability intersect with our innovation and capabilities, that strives high demand for our products and services. The increased focus on the health and safety of spaces and our holistic approach to helping our customers navigate solutions to improve indoor air quality is another opportunity for Trane Technologies to make a difference in the world. We've been investing heavily for years to build franchise brands and to advance our leadership market positions to enable consistent profitable growth and we intend to presser advantage during this downturn, to leverage a strong financial and competitive positioning and to invest heavily in the future of Trane Technologies. Our message to our investors is unambiguous. We're stepping up to the challenges of today and tomorrow, but we will never stand still and we're certainly not going to slow down. Our results in the marketplace or the ultimate parameter. We're not only focused on relentless investments in innovation and growth, investments and blueprinting and transforming into a leaner fit for purpose pure play company through the elimination of stranded costs, and the execution of transformation initiatives that will fundamentally improve the margin profile of the company over the long-term. Lastly, we remain committed to dynamic and balanced deployment of capital, and we have a strong track record of delivering strong free cash flow, deploying excess cash to deliver top tier shareholder returns over the years. And with that, Chris, Dave, and I will be happy to take your questions. Operator?
Operator: Thank you. [Operator instructions] Your first question comes from Julian Mitchell with Barclays. Your line is open.
Julian Mitchell: Hi, good morning. Maybe just the first question around the commercial HVAC environment in the Americas. Because I suppose as you point out, the end market indicators, things like project starts down or weak, your own backlog, though you think is stable into year-end? So, when I think about that, would you think that the negative impact of those end market indicators and starts - you're already moving past the worst of that or do you think that will hit your backlog early mid next year? Or alternatively, there's just no real trend to call out because of COVID, you're just taking kind of each quarter as it comes and the markets just too choppy to corner a trend line?
Mike Lamach: Yeah, Julian. It's probably a little bit too early to understand the trend line there. But remember that probably 15% to 20% of our business is really affected by Dodge data - that put in place data that you read. And a lot more of that is predicated on how we're doing with creating demand around retrofits and indoor air quality. So, I do think you're correct, I do think we exit the year relatively flat in terms of our backlog. And based on everything that we've been through this past year, that's somewhat of an achievement to end with the flat backlog. So, I think with the current course and speed going into '21, we've got enough strength enough health in many markets to have a decent year in '21 around growth.
Julian Mitchell: Thanks. And then maybe just a quick follow up question around the residential market. Any perspectives on what the total market you think is doing this year? And the extent to which you think that sets a high or normal or low bar for next year? And any updates on your thoughts on that replacement cycle in the U.S. resi?
Chris Kuehn: Well, it's strange here, because demand was really shoved around - pushed around. I think everyone went into a recession playbook and the pandemic playbook is a bit different as people generally felt so good about the jobs and investing in indoor air quality at home. And so you saw drive toward not only replacing systems, but even mix for us that went up versus down through that. So, I don't think that that continues indefinitely. I think it begins to normalize probably in quarter four, certainly in quarter one. The unique thing is we're moving in from what was really an extended peak season, into really the build that we would normally do in the fourth quarter and beginning of the first quarter for the traditional peak season that we would see, the cooling season as well next year in '21. So, I think the best way to look at that is to look at the 2020 is a bit of an anomaly. And I think we will move into a more normalized '21. Everything that we're seeing around the setup for '21 would be that we see a little bit of growth in '21. But again, it's all predicated on the current course and speed of the economy and certainly how people feel about employment and overall consumer confidence as we get further into - be into '20 and into early '21. Of course that business is really a book in turn business. And we were looking to turn everything you could build in the fourth quarter. Teams done an outstanding job about being able to meet demand that we didn't forecast and get that turned into revenue and nice margin expansion for the quarter. So, I want to compliment the execution there, but again, I think it normalizes.
Julian Mitchell: Very helpful. Thank you.
Operator: Your next question comes from Jeff Sprague with Vertical Research. Your line is open.
Jeff Sprague: Thank you. Hello everyone.
Chris Kuehn: Hi, Jeff. How are you doing?
Jeff Sprague: Doing great. Thanks. Just back on the commercial question. The growth that you're seeing in services, I think you said low-single digit in the quarter. Is it your view that's a kind of a pretty steady run-rate for the situation that we're in or with some catch up from site access in Q2?
Dave Regnery: Jeff, this is Dave, I'll start and Mike and Chris can add on. But yeah, we're very happy with our service businesses really globally. They've outperformed the equipment, despite the pandemic. And there's a lot of office buildings that are still - in the occupied, there's a lot of buildings that are not occupied at all with closures. We have schools that, various degrees of when students are actually coming back. So, despite all of that, our service business is still growing and it's outperforming our equipment business.
Chris Kuehn: I'd say based on availability [ph], it's still a headwind, IAQ certainly a tailwind. But net net that I think is a positive setup for the service business. And I would say the service business was a great antidote to a recession. Of course, pandemic is different in that if access to buildings is denied, it's tough to grow a service business, but we're very busy on the IAQ front. And as buildings continue to open, there will actually be some deferred service deferred maintenance that I would expect we'd see there as well.
Jeff Sprague: And then I'm wondering on the IAQ, thanks for the additional framing of maybe the square footage could be a target. So, it sounds like it's still early days as you know, but I think Dave, you mentioned you're starting to book some midsized projects. Is there anything we can kind of glean there, like what that means midsized project would increase your service opportunity and building XYZ by some percentage? And just some kind of rough framework to kind of get ahead around the dollar opportunity here?
Dave Regnery: Yeah, I mean, I would tell you that we continue to see strong customer demand and momentum in indoor air quality number one. And just take a step back, when we do an assessment, Jeff, it's not a check the box. So, these assessments take hundreds of hours to complete. And we take a very holistic approach when we look at the building. So, we it's not just changing out one item within a system, it really has to be a systems approach, otherwise, you can make some very bad decisions for the end customer. Our audits fall past ways, best practices, we ensure the building equipment is operating, the way it was designed. You then start looking at opportunities to improve the indoor air quality, whether that be on the filtration side, whether that be on the fresher exchange side. We also look at sensors to prove the humidity levels, temperature occupancy, that's all part of what we would do for our customers. What we do is we lay out for our customers a very layered approach. So we'll tell the customer what we will do on day one to get the building operating the best they can with the current assets in place. And then we'll give them a roadmap for the future. And that roadmap could be if they wanted to increase the fresh air exchanges to a greater degree, they may need additional cooling capacity. It could be, as Mike alluded to earlier on the energy side, where there's energy projects that could actually reduce the tax that we put on the building to bring the indoor air quality up. When we say modest projects, we're talking about what we call day one projects. And that is, let's get your building as healthy as we can get it with your current set of assets today. And then we'll give you that roadmap for the future.
Chris Kuehn: That's why I think it's a long-term play. Because that would need be wanting to do something right now. And then ultimately if the building wasn't designed that do what it needs to do, or your system limitations of what those standards should be for the building, they have changed use over some period of time and never was adapted. Those are all necessary investments that need to be made. One of the things I just offer for this because if on the phone here, just some advice on this. The opposite of a holistic approach that sort of a point solution and one of the point solutions that we're seeing that's a little bit problematic is a lot of people have gotten just moved to really dense filter medium. And what's happening there is you're not getting often enough airflow out of spaces. And as you do that, you're actually making the situation worse at the ends of duct runs and buildings. And so you're not getting the air changes per hour and in fact the systems and fans may not have the capacity to support that, then we're going back in, at that point and putting some math modeling around once the maximum filter media you could change. How do we impact that by maybe maximizing actual or changes? How do we get humidity for an aerosol contaminant? So it's a little bit heavier, falls faster? What can we use to kill it that wouldn't create environmental problems for occupants? And those are all of the things that holistically we try to put together, as well as the back end energy conservation measures to mitigate the effect of all those.
Jeff Sprague: Great, thanks for that color. Best of luck.
Operator: Your next question comes from Josh Pokrzywinski with Morgan Stanley. Your line is open.
Josh Pokrzywinski: Hey, good morning all.
Chris Kuehn: Hey Josh, good morning.
Josh Pokrzywinski: Mike, with some of these upgrades that are coming through especially the holistic stuff around IAQ. I appreciate kind of the - the global square footage numbers that you throw out there and certainly the size and energy efficiency opportunity on the install base is pretty large. I think in the past, you've talked about in the applied world, kind of that dollar of equipment and $5 of parts and services through the lifespan. Any way to dimensionalize what these upgrades are or worse in the context of that dollar? Is it $0.10, is it $0.90, like just maybe give us a sense for how much these things cost relative to just pull off purchasing a new system?
Mike Lamach: Yeah, for $1 spent in an applied system, it's a 30-year life cycle, we'd see a range of 8 to 12 times that, in terms of the service and retrofit potential around that. So that that's probably what you're referring to there, Josh. And I think that's true. I think the urgency probably on the front end to do something in terms of the day explained plan and that plan has to be consistent with someone's overall financial capacity to execute the plan. We've got to work with customers to be able to do that. So Dave said, day one or the mitigating things we can do, day two and beyond, what are the things that would need to - have to happen in the system some to put them at a standard or a best in class. But I think also too, as people look at buildings, particularly tenants and landlords trying to lease buildings. There's going to be some tendency to be inquiring about this a lot, from understanding to what degree have you made modifications, or what does a building need to do to perform at a standard that should be best and healthy for occupants. And so that's going to play into this as well. So, I think we'll be busy doing some asset planning for customers and longer term. I think that they probably accelerate some of the retrofits. It will also have the impact of things that are in design and things that are not yet in design, but will be built in the future, probably built to either standard. Not just the installed modeled standard, but the maintenance standards as well. Because it's really critical, as you know that energy can drop as example, from model to actual it could drop 30% in a matter of just a couple of years through customers overriding system points. This is analogous to that. You can do all this great work around filters and outdoor air exchanges and dampers and linkages. But if you're not maintaining that stuff, you default back to where you were. So maintenance will be improved going forward, I think, as well as the ability to monitor the stuff remotely, because there's just so much out there to look at, you're going to have to do this digitally and look for anomalies in the systems.
Josh Pokrzywinski: Got it. It's helpful. And just pivoting quickly over to the transport side of the house. Any sense for what the opportunity could look like or any inquiries customers are making about vaccine distribution and transportation there and the capacity that might be needed to support that?
Dave Regnery: Josh, this is Dave, I'll take that. And just take a step back, Thermo King business, we have a complete line of products and services that is for the whole coal chain for distribution, whether that's air, truck, trailer, marine, rail, last mile, refrigerated, containers. There are several vaccines I'm sure everyone's aware that are being worked. Some are in Phase 3 trials right now. It's unclear as to which will be first to market. And depending on the vaccine they have different temperature requirements for distribution. So, it ranges from a deep freeze, which could be as cold as minus 80 C to frozen, which rewinds 10 C to just like a pharmaceutical, which would be like 2 C. The markets have sufficient capacity for trailer over the land where we see opportunities is really in three spaces. One is an air, and we've been in the air business for four decades, we have all the approved certifications, whether it's FAA or ESA, which is the equivalent in Europe. We also see some opportunities in last mile. And we see a big opportunity in deep freeze cold storage. And we just have a new product that we introduced there a few months ago, this is a product that in a typical hospital, your deep freeze capability is really about the size of your refrigerator at home. And our solution there is about 60 times the volume that a deep freezer you'd find in a hospital could hold. So, that's going to be a big opportunity for Thermo King. Who we're talking to, we're talking to pharma companies, distribution companies, 3PL, government healthcare providers, we're talking to everyone? And we're going to be ready with the distribution solution storage solution, when that time comes. And hopefully, it's soon when we start distributing vaccines.
Mike Lamach: And if I add, the affordable solution that's got the 60x capacity of the current market capability. It's still a mobile unit, when you pair that with our rental and logistics capability through our rental businesses, we've got the opportunity to move things around there, as they needed. I really proud of the work the team did here to take every pharma manufacturing and vaccine and work with them specifically around the requirements and exactly how and eventually vaccines can be packed and distributed. But also understanding exactly what their supply chain looks like and where the break points could be in the cold chain so that we can map out the capacities for every pharma company going through every distribution model, all the way through to a CVS or at Walmart, for example, here in the U.S. about how people will eventually be inoculated. So, in doing that, it's allowed us to be able to look at constraints, look at capacities and make sure that we're selling product that people would actually need it as opposed to just selling product into capacities that may not be required, that would be a real mess if that happening. We're being very conscientious about sort of observing that capacity to put it into the best place.
Josh Pokrzywinski: Appreciate it. Thanks, Mike. Thanks Dave.
Operator: The next question comes from Steve Tusa with JPMorgan. Your line is open.
Steve Tusa: Good morning. We're a long way from the dry ship R22 changes if you remember those days, Mike.
Mike Lamach: Sorry, I'm not [ph] Steve.
Steve Tusa: You don't have to it's been nothing but up into the right congrats on continued execution share gain, et cetera. On - just thinking about all this kind of air quality stuff and the opportunity. I mean, what needs to come together from your perspective as a catalyst to kind of unlock some of this? I mean, I think ASHRAE is very busy trying to kind of figure out standards. And you've got obviously the messaging around the election around green new deals and ESG. I mean, how fragmented is this? Right now, it sounds very fragmented, what kind of brings it all together and kind of catalyzes customers, do you think to get kind of off the sidelines?
Mike Lamach: I think it just comes down to first, looking at the behavioral science behind all this. And what we as consumers and building occupants, and building owners and tenants think about space going forward. And so it's not going to require somebody to kind of convene that into, on demand or coder standard. Although I think what will happen is, initially, particularly in developed economies, there will be immediate look back to looking at buildings and whether or not they're operating at standards, and then what would you do to mitigate that? I think it creates a step up where codes don't exist or don't exist to the stringent level of a standard, where those become implemented much more quickly than perhaps would have happened. But particularly for us, when you think about, our non-residential opportunity which is the bulk of our global business we're really only in the res business, if you will in the U.S. and Canada. If you think about that, these are sophisticated building owners applied maybe more institutional critical systems, they get it. They get it immediately and they know to open a factory, a hospital, university, a research center. They're going to - you have to be at least at whatever the best standard is. So I don't think anything actually has to happen. Of course, anything that could happen, that would create more focus on driving codes and implementing them faster would be additive to that.
Steve Tusa: So I mean, you think that even without that, that there's enough will to kind of fund some of these big investments that would move beyond just something like the ancillary at the margin for your business?
Mike Lamach: Yes, if you think about even just, again our non-res business, being in the 10s of billions of square feet that we've got an installed base, that's a great starting point. And in situations like this, where you can't get to everybody immediately right away that's why honestly, it has to get an industry response solving for 1.7 trillion square feet of space. You're going to go to the people that get it first, and it wants to do something about it. And so, we're going to be selective about who we're talking to and how long we're talking to them before somebody does something. It's a function of making sure that you disqualify opportunity as readily should qualify opportunities, when you've got that much opportunity in front of you. So we're going to spend our time prioritizing with the people that want to act on it quickly and making sure that we're going to where the action will be taken, which of course, is going to drive outcomes for health, and it's going to drive revenues for us.
Steve Tusa: Great. Thanks for the color. Congrats again.
Operator: Your next question comes from Scott Davis with Melius Research.
Scott Davis: Hello.
Mike Lamach: Hey, Scott.
Scott Davis: Good morning. I am going to collect a question this quarter. But when you think about the resi side, do you guys have any visibility into how people are financing units, whether they --once upon a time, I know, home equity loans were real popular, and then there were specialty finance companies and then it was back to credit cards. I'm just kind of curious to see what - how people are paying for things now? Have you seen any change or have visibility in that far down in the channel?
Mike Lamach: Yes, I guess I started with U.S. savings rates quadruple, but I think in quarter two and the first part of quarter three we were sitting around 20%versus the 4% or 5% savings rate. And people obviously aren't going out and taking vacations and doing the things they were doing. So I think there is actually more capacity. And I also think that home values have increased, the people feel that they're pretty solid footing, at least at this point around home values. So, I think the between savings rate home equity lines that may be open, that's the primary that we're seeing there. We're not hearing anything, specifically about higher take rate around financing.
Scott Davis: Okay, thanks. That makes sense. I figured that was answered, but you never know it's a strange, time. And then the other question I have for you guys, it's just visibility on non-res in China and kind of looking out there. I mean, what are your local guys saying as far as project activity and things and general outlook?
Dave Regnery: Yes. Scott, this is Dave, I'll take that. We're pretty happy with the growth rates that we're seeing right now in China, in our business, I think a lot of that comes back to the investments that we made four years ago, when we developed the direct sales force there. If you remember those days, we had - we literally went out and trained 300-400 engineers to have a direct sales force, actually go talk to engineers and architects and to help become the basis of design. So with that as a backdrop, what we're seeing strength in China is in data centers, electronics, pharma and healthcare. And those are areas that we have a lot of activity and we have weakness obviously, as well. Some of those spots would be office and retail. But overall, the team, and you heard Chris say in the beginning, our team and in China has done just an excellent job and we're really proud of their accomplishments.
Scott Davis: Okay, thank you guys. Good luck.
Dave Regnery: Thank you.
Operator: Your next question comes from Joe Ritchie with Goldman Sachs. Your line is open.
Joe Ritchie: Thanks. Good morning everyone.
Mike Lamach: Good morning, Joe.
Joe Ritchie: So, my first question guys is this, on just the resiliency of your service business in North America. I'd be curious as you're thinking about 2021, whether it's - how you kind of contracted the business? How you expect that to look like in '21, particularly at a time now, obviously, where occupancy rates are a lot lower and commercial buildings. I'm just wondering if there's any headwind to potentially think through as we head into next year.
Mike Lamach: Yeah. I mean it's probably helps to think about this a little bit of a bell curve, as it relates to people that are out of business, or will be out of business and are coming back in business. And there's going to be some space, obviously, some retail space as an example that restaurants that's going to be the question. You get people are absolutely coming back, and investing a warehouse in data centers or other businesses that relate to that. But the folks in the middle that are going to come back, it's a matter of sort of time and maybe density for how they pack and organize occupants and buildings. They're going to use the opportunity preopening to mitigate as much as they can. I mean they have to mitigate the space in some way before people return to the office. And so we're sitting in North Carolina today, and we're communicating to our population just as recently as last week about our intentions. And we don't see people coming back into the office here, unless they need to do their work or they can and we put these protocols in place, but we're not expecting people to come back in at least until the early part of next year. And even that's up for grabs, as relates to what the science will tell us and case rates look like in the local community. But having said that, we've gone through and taking enormous investment to get our space, up beyond a standard to have people feel comfortable coming back. And I think that you're saying the bulk of the bell curve in companies and landlords and tenants that are requiring some mitigation to take place now. And so again, between not being able to get the subspaces, and then the tailwind around providing some mitigating activity for people who are going to be opening, as well as providing services for the people that are open. There's enough for us to do there, and I think see some growth and services.
Joe Ritchie: That's helpful, Mike. And maybe just my one follow on question. Focusing on U.S. resi HVAC for just a second. And clearly the bookings growth has been really good. You guys seemingly are taking some share there. I guess my question is, as we kind of switch into the cooler months with the furnace season, are there any - I guess - or do you have any supply constraints and delivering on the type of bookings growth that you're experiencing? And then are there any issues to maybe think through, as you kind of switch over into furnace season?
Dave Regnery: Yes, I'll take that. This is Dave. We're not seeing any constraints in our supply. I think, if you go back to the end of March, we reconfigured all of our factories and put the right safety protocols in place. We also have a team that was working with our suppliers to ensure that they were able to provide us components, that still is all in place. And right now, we have no constraints in front of us.
Mike Lamach: Yes, I just would add that just absolutely heroic efforts by our residential team, our manufacturing, and supply chain teams, to make sure that we were able to respond to this demand. Because again, this was not predicted, we didn't see these volumes coming in a typical recession playbook. And this is a different set of viewing behaviors happening here around how people thinking about in their space at home. And the ability to respond to that was really a lot of hard work by some great people out in the organization getting it done.
Joe Ritchie: Good to hear. Thank you all.
Operator: Your next question comes from Andy Kaplowitz with Citigroup. Your line is open.
Andy Kaplowitz: Good morning, guys. Nice quarter.
Dave Regnery: Hi, Andy. Thank you.
Andy Kaplowitz: Getting the increased demand that you talked about for IAQ and service in the commercial side, as well as the strength you continue to see in residential. While I know, you talked about expecting more normalized here in '21 in residential? Are inventory is generally across the respective channels still relatively low? Does that give you more confidence in the relative end markets as you go into Q4 and into 2021?
Mike Lamach: Inventory levels coming out of Q2, we're about half of what they needed to about. So if you think about three months, it's kind of more typical. It might have been sitting at six weeks and that drove incredible demand that we saw in June, July, August and really continued. I would say, as an industry, it's been a bit hand to mouth, if you've got it, you probably could sell it. And that certainly was the case for us. And really, again sere [ph] wasn't important, people were taking what they could get, and they were opting for higher sere [ph] of choices were available. So, really, I think it hasn't changed much. And again, this is why I think that you run right in from an elongated crewing season in 2020 right into the normal build that we were have, basis what we think could be '21 demand. And that's not normal. Usually there's quite a lot in the action between, August, September, and call it December, January.
Andy Kaplowitz: Thanks for that, Mike. And then I'm sure we'll get into, as you said, margin targets in December. But when we look at your adjusted margin in the quarter that's '16 and '17, we obviously know that seasonally strong. But given the mix of residential, hopefully some improvement in Thermo King that's likely to happen in '21, can we actually see operating leverage continue to be higher than gross margin and '21? Is there any reason why your longer-term target wouldn't be at or higher than the target you last gave us we thought about climate margin goals for 2020?
Mike Lamach: Yes, I wouldn't, set that as an expectation. Andy, I think that we always like to tell people that the entitlement is probably 85 points, shorter gross margin, giving us an opportunity to continue to really innovate and invest in the business and make sure that we're sitting at - upfront. And of course, incremental margins of 25% against margins that are 16% to 17%, it's all a good problem to have. And, of course we want to raise gross margins overtime. So, that's a good thing to have happen. Occasionally, it happens that we had great productivity in quarter three and excellent price versus material inflation in quarter three, and you can drive outsized leverage in a particular quarter. But in the long run, it's best for us just to think about it the way that we're thinking about it, which is something close to gross margins, leaving room for investment and some breakage around ideas that don't pan out. And that's the way I would try to shape up '21 and beyond. We're not creating a lot of headman going into '21. All of the hourly increases, that we would have given in terms of salary, increase in salary associates happen, like they normally would have normal schedule. And under the delays in salary increases that we pushed out into '21, we brought back into '20. So, what you're seeing here is investment back get a salary increases. And so the only sort of had win probably are tailwind is how much really travel and entertainment we would be doing in '21, as an example. And I think that, frankly, we're rethinking a lot of those things right now, as many companies are about how much business travel, how much entertainment do we need to be doing. Certainly some will come back, but probably never at the levels or unlikely to get levels that they were historically. So, we're not setting up a situation in the reverse, which is really tough leverage coming in at '21. So, I kind of right in the middle and say, 25 is a good number to think about.
Andy Kaplowitz: Thanks, Mike. Very helpful.
Operator: Your next question comes from Andrew Obin with Bank of America Merrill Lynch. Your line is open.
Andrew Obin: Hi, good morning.
Mike Lamach: Hey, Andy.
Andrew Obin: Just a question. How has COVID changed your thinking about consolidation in the HVAC industry? And do you think they're sort of rethinking as to what the setup should be a longer term from a strategic standpoint?
Chris Kuehn: Yes, nothing has changed my thinking or thought process around that. I mean, COVID really doesn't have an impact on that. I mean, obviously, it's going to dislocate earnings between companies, but doesn't really change long-term view toward that. It's like it's something that could and should happen. Broader on the M&A question, I think is we think about some of the things that we're doing around the bolt-ons, you've got sellers that want to use 2019 EBITDA and of course, we as a buyer, need to understand the structural changes going forward and the future valuable cash flows that come from that. Conversely if we're looking at things that we're looking to acquire that can be technologies that are helpful in a pandemic. You got seller expectations and breakout EBITDA divergence, so again, you got to go back and structurally look at those future cash flows. But - and then due diligence is a little bit tougher, because most of that is of course remote now, and that's not the best way to do due diligence. So, other than that, it doesn't really change the long-term view toward M&A or transformational M&A.
Andrew Obin: And then just a follow up question sort of thinking about key verticals, and specifically offices and institutional. What are the conversations like with your customers about their ability to actually fund sort of the upgrades or even fund normal activity into next year? Have you had those specific conversations?
Dave Regnery: Yes, we have Andy, - this is Dave. And obviously, it depends on the customer. But that's what we really developed this whole layered approach in our audits. And we work with our customers to really say, here's your day one opportunity to make your building healthy as it can be right now. And then we give them options to improve going forward. And some of that is 00 I'll give you a real example, we had a customer the other day that wanted to dramatically improve their fresh air exchanges, which makes sense from an indoor air quality standpoint. Unfortunately, the way that building was designed, we would have to put additional cooling capacity to make that happen. And what we worked out with that customer was is what's exchange it to this level, let's get this level today. Let's put a PL in the system for additional cooling capacity. We'll deliver that before the summer months in 2021, so your building is ready. That's a live example of what we're finding with our customer base.
Dave Regnery: Thank you.
Operator: Your next question comes from John Walsh with Credit Suisse. Your line is open.
John Walsh: Hi, thank you for squeezing me in here. Appreciate it. And good morning to everyone.
Dave Regnery: Good morning, John.
John Walsh: I guess just two really quick ones. We took a stab at trying to actually size the indoor air quality TAM, for education, we came up with 3 billion on public disclosures that are out there. We took some Liberty scaling that up to a number north of 30 billion for the entire opportunity. Are we in the right ballpark, as you're looking at it today? I appreciate you don't want to put a dollar number on it, but does that sound right to you?
Mike Lamach: Yes, John. I'll tell you the first thing we've been talking about 1.7 trillion square feet of indoor space and 400 billion worth of non-residential space. The answer is got to do something in the billions, right. So I don't think you're - it's just a matter of how does that play out. And in my notion on this is a holistic layered approach mitigating and offering solutions to improve going forward based on the economic capacity of somebody to go and undertake some of these initiatives, it's probably a very long-term tailwind and in a different way to think about space going forward. So it's probably not the size of the market that would be the question. It would be the timing. In my view, it's going to be embedded in growth rate for a very long time. How big is that growth rate? We still don't know, we need to get more experienced here as we go through this with our customers.
John Walsh: Great. And it's a question we get, and you're actually talking to the customer. So we'd love to get your perspective. But, once we eventually get a vaccine announcement, do you think that actually slows any of this investment down?
Mike Lamach: I can't, because the vaccine for this virus, I mean, there's three vaccine for any virus. And frankly, the reality around future pandemics, I think, is great. And the fact that people do want to have the surety peace of mind around indoor air quality, I don't think it changes. I think it helps open the economy. And I think that has positive benefit. But I don't think it's going to really change how people think about preparation. Just like generally, we used to think about hurricanes hitting Puerto Rico and the Gulf and how we've prepared for those things, and how are we prepared for the aftermath of those things, both from a business continuity perspective, but from a health and welfare of our people perspective. A pandemic, which is something that we had planned for overall health and wellness so we really, from a business continuity perspective, have learned a lot about dealing with the pandemic. So after managing our playbooks are going to change for these pandemics and those playbooks for all customers are going to relate to the health of their space.
Dave Regnery: A restaurant that's able to stay open, because they put in all these mitigating factors, where transmission rates clearly are lower, because we've done that all factored into healthier economy one in fact, we have the next crisis.
John Walsh: No. that makes a lot of sense. Appreciate it. Thank you.
Operator: This concludes the Q&A portion of today's call. I will now turn the call back over to Zac Nagle, for closing remarks.
Zac Nagle: Good morning. Thank you everyone for joining the call today. Shane and I will be available as always for questions today and obviously over the coming days and weeks. And then, please mark your calendars for December 14 for our Investor Briefing, we will do a deeper dive on Trane Technologies transformation and that will be on 14 with more details to follow. Thank you again, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for joining. You may now disconnect.